Operator: Welcome to the Annual Meeting of Stockholders for Oil-Dri Corporation of America. Our host for today's call is Leslie Garber, Manager of Investor Relations. At this time, all participants will be in a listen-only mode. I will not turn the call over to your host, Leslie Garber. You may begin.
Leslie Garber: Good morning, and welcome to Oil-Dri Corporation of America's 2021 Annual Meeting of Stockholders. My name is Leslie Garber, and I'm the Manager of Investor Relations at Oil-Dri. Due to the current pandemic, we are conducting this meeting virtually to ensure everyone's health and safety.  By hosting this meeting via live webcast, we are able to be more inclusive, reach a greater number of our stockholders and save costs. On your screen under Meeting Materials, you will find the meeting agenda, rules of conduct, list of stockholders of record and Oil-Dri's proxy statement and annual report. During the meeting today, we will be covering the election of Directors and one other proposal. Next will be the business presentations and financial review, followed by time for Q&A. We ask that you submit your questions online under the Ask a Question field on your screen. Only stockholders of record are able to ask questions during the meeting. Stockholders will also be able to vote online by clicking on the Vote Here button on your screen.  Now it is my pleasure to introduce our General Counsel and Secretary, Laura Scheland, who will conduct the formal portion of today's meeting. 
Laura Scheland: Good morning, ladies and gentlemen. I now call to order the 2021 Annual Meeting of Stockholders of Oil-Dri Corporation of America to conduct the formal business set forth in the notice of meeting and proxy statement. Commencing on October 26, 2021, a notice regarding the availability of proxy materials or a copy of the proxy materials was mailed to all Oil-Dri stockholders of record as of the close of business on October 11, 2021, which is the record date fixed by Oil-Dri's Board of Directors for the determination of stockholders entitled to notice of, and to vote at, this meeting.  Broadridge Financial Solutions, Inc. has delivered an affidavit confirming the foregoing. Oil-Dri has appointed Peter Sablich of CT Hagberg LLC to serve as the Inspector of Election for this meeting. He is present on the webcast and has taken the oath of office. As of October 11, 2021, the record date for this meeting, there were 5,330,359 shares of Oil-Dri's common stock and 2,050,565 shares of Oil-Dri's Class B stock outstanding. Holders of our common stock are entitled to one vote per share and holders of our Class B stock are entitled to 10 votes per share, and generally vote together without regard to class.  A quorum is present at this meeting if holders of a majority of our common stock and Class B stock outstanding and entitled to vote are present in person or represented by proxy. Thus, the number of votes necessary to constitute a quorum at this meeting is 12,918,006 votes. Mr. Sablich has informed me that there are more than such number of votes represented at this meeting. Therefore, I declare there the quorum present for purposes of transacting business.  Now I will present the matters to be voted upon. If any stockholder would like to make a comment regarding any of the proposals, please submit your comments through the Ask a Question field in the Web portal, and we will review any comments on the proposals themselves after all proposals have been presented.  As described in the proxy statement, the first item of business is the election of eight Directors. The proxy statement listed Oil-Dri's nominees for Directors, each of whom currently serves as a Director of Oil-Dri. Those nominees are Daniel S. Jaffee, Ellen-Blair Chube, Paul M. Hindsley, Michael A. Nemeroff, George C. Roeth, Amy L. Ryan, Allan H. Selig, Paul E. Suckow and Lawrence E. Washow.  The second item of business is a ratification of the appointment of Grant Thornton LLP as Oil-Dri's independent auditor for the fiscal year ending July 31, 2022. The Audit Committee of the Board of Directors of Oil-Dri has appointed Grant Thornton to serve as the company's independent auditor for fiscal year 2022 and has directed the appointment to be submitted for ratification by the stockholders at this meeting.  At this time, we'll check for and review any comments on the proposals that have been submitted. It looks like no comments have been received on the proposals. So we will proceed with opening the poll. It is 9.35 AM on December 8, 2021 and the polls are now open. Any stockholder who hasn't yet voted or wishes to change their vote may do so by clicking on the Vote Here button on your screen.  Stockholders who have sent in proxies or voted via telephone or Internet and who do not want to change their vote do not need to take any further action. While we allow time for stockholders who haven't already done so to complete their voting, I'd like to remind you that the business presentation and other commentary by any of Oil-Dri's employees today may contain forward-looking statements of expected future performance.  Any such forward-looking statements are subject to certain risks, uncertainties and assumptions that could cause actual results to differ materially. We highlight a number of important risk factors that may affect our future performance in our SEC filings, including our annual report for the fiscal year ended July 31, 2021.  We urge you to review and consider those risk factors carefully in evaluating the company's comments in evaluating any investment in Oil-Dri stock. Copies of our SEC filings are available through the company or on the company's Web site.  All right, one last minute to finish voting. Okay. At this point, the polls are closed and I will now report the preliminary results of the voting. We will be reporting the final vote results in a Form 8-K to be filed within four business days.  As described in the proxy statement, a Director may only be elected by a plurality of votes cast. The nine nominees who received the largest number of votes will be elected. We have been informed by the Inspector of Elections that the preliminary vote report shows that the nine candidates nominated by Oil-Dri received the largest number of votes. Regarding the second item of business, an affirmative majority of the votes represented at this meeting is necessary for ratification of the appointment of Grant Thornton as Oil-Dri's independent auditor for the fiscal year ending July 31, 2022. We have been informed by the Inspector of Elections that the preliminary vote report shows that such ratification received more than a majority of the votes represented at this meeting.  This completes the business to be conducted at this meeting. There being no further business to come before the meeting, the 2021 Annual Meeting of Stockholders of Oil-Dri Corporation of America is now adjourned. I am now happy to introduce Dan Jaffee, our President and Chief Executive Officer for our business presentation and financial review.
Dan Jaffee: Great. Thank you, Laura, and thank you, everyone. Welcome to our Annual Meeting. It's our -- we completed our 81st fiscal year, which is exciting. I want to thank our loyal shareholders for your continued support. I want to particularly thank our frontline workers who helped us navigate the pandemic.  We're still in the midst of it just when you thought it was safe to go back in the water, they dumped a variant and now the -- the optimizing [ph] with all the different variants, but it just keeps happening. And so they keep coming into work and they keep filling the orders. And we're shipping and billing. And that's -- we continue to set records.  From a sales standpoint, very proud that we broke $300 million in revenue for the first time. You'll hear from Susan Kreh, our CFO, with some more detailed numbers review. We also suffered the massive cost pressures and external supply chain issues. You'll hear from Molly VandenHeuvel about our supply chain.  And my dad always used to joke when people would ask, how's your wife? He would say compared to who? And that's sort of how's your supply chain? Compared to who? We're very fortunate that we control a huge percentage of what goes into our product, i.e. our raw material, our play.  You look at these companies who are purely reliant on external suppliers and supply chains that reach all the way across the globe and they're having massive issues filling orders, whether it's buying a car or getting an iPad, whatever, I think we've all experienced that just getting a bed [ph] takes months. So we are doing a great job, but we're clearly under a lot of pressure and we're navigating our way through it. Fortunately, we're in a rational market and we've been out there cutting costs and raising prices, and we're chasing a moving target. And so you saw continued margin pressure in the quarter we just released, the first quarter. But we're confident that we're going to continue to be able to raise prices to try and just get back to where we were from a margin standpoint.  And no way is this an attempt by Oil-Dri to feather our nest. It's merely just trying to get our margins back where they really need to be so that we can continue to provide our customers with the quality and the service that they demand and that they have come to expect.  You'll hear from Jessica Moskowitz and Wade and Fred on the Amlan animal health side on our winning strategies. Jessica will be able to talk about lightweight litter, which we invented, patented and launched almost a decade ago now, not quite. And the question is how high is up? And I always ask buyers, I said all things being equal, meaning the consumer can get what they want at a price point they want, the performance they want. Do you believe that they want to carry home twice as much weight or carry home half the weight, seeing as they use the product by volume and not by weight and obviously they all smile and say, of course, they prefer less weight. It's better for the environment. You can put twice as many units on a truck. It's better for our partners, delivery and half the truck loads and it's better for the consumer. As we know, women are the predominant buyer of cat litter and having to haul home a 40-pound pail is not nearly as appreciated as getting the same performance, same use, oftentimes at a better price and a 20-pound pail. So our retail partners that are leaning heavily in the lightweight are really seeing the success.  You're going to continue to see us outperform the category. You'll see that we have continued to outperform the category. You know what, a great test market for how high is up is going on north of the border up in Canada. Our biggest branded competitor is Nestlé Purina, Tidy Cats. They went 100% lightweight over almost two years ago now and they are staying that way. So half of the market now in Canada is lightweight, half of the old heavy density formula. We do -- if you comb through our Qs and our Ks, you can see that our cat litter business for the fiscal year '21 up in Canada was up 28%. A shout out to the whole Canadian team up there, very proud of what you guys are doing. I haven't physically been able to get up there due to quarantining and everything else, but we FaceTime and they walk me around and it's really exciting what's going on.  So again, for the fiscal year, we were up 28% in net sales. We were up 40% in the fourth quarter. And in the first quarter of this fiscal year, we're up 48%. So the momentum is growing in a category that's growing at around 5%, 6%. So we're continuing to take share and it’s because of the quality, our service and the lightweight offering.  The consumers up there are absolutely demanding and wanting lightweight, and we're giving it to them on the private label side and the branded side, while Leslie is focused mostly on the branded side. So that's sort of a great test market for how high is up. The U.S., we report -- it's still under 20% of the market is lightweight. You'll hear all that from Jessica. She'll have the specifics.  Then we'll switch gears and we'll go over to the animal health, and you guys have been incredibly patient. We've learned a lot through fits and starts. And really we retooled, put in a new team, a new strategy and new everything about a year ago, and it's really working. And the main shift was we are leading with our mineral. We have a very, very unique mineral.  We have spent millions of dollars. We have PhDs and masters and scientists. We opened up the Dick Jaffee microbiology lab to better understand what's happening in the animal's gut with our mineral. And it is very clear that we have, if not the best, one of the best non-antibiotic answers out there on the planet. This is a $3 billion market and we are leading with our mineral.  We are being able to attract real world class talent, which we have built the team together. Fred has put together an incredible team. And then Wade has put together his marketing team. And together, they truly are Pippen and Jordan, and I'll be happy to be Phil on this one. So you'll hear from those guys. But you can tell that I'm very excited about the future of the company.  We have winning strategies. We have a great team. And we are navigating the storm as best as we can, but very well. And ultimately, you got to say, okay, well is the CEO putting his money where his mouth is? As you well know if you follow the company, every year I invest in some restricted chairs, and most years just because -- well, first of all, I have to pay the government the taxes. So that's a sanity check. I would never -- you don't want to see [indiscernible] taxes. And I don't.  And so every year, I usually sell a chunk of the shares to pay the taxes. And this year, I made the decision and you can see this again through all the filings, so this is all out there for you to find that I actually wrote a check for $200,000 cash to defray a big chunk of the tax bill so that I can hold on to more of the shares. And that would tell you either your CEO is insane or he's very excited and all-in about the future of the company. And it could be a little bit of the former, but it's mostly the latter. I'm very excited about the future.  And without further ado, I want to turn it over to the team who are making it happen. As I always do. I like to highlight the new VPs, because these are people that you're investing and these are the people that are helping your investment gain value every year. During the year, we have three new Vice Presidents. I will take them in alphabetical order.  Dave Atkinson joined us as Vice President and Corporate Controller. He joined Oil-Dri in July of 2021. He is a seasoned accounting and finance professional with over 30 years of experience in international consumer products and manufacturing. He joins us from Ferrara Candy where he recently served in the role as Vice President, Corporate Controller.  He has a CPA, BS in accounting, Masters of Business Administration from Northern Illinois. And we're very happy to welcome him and his wife Kathy and their children into the Oil-Dri family. And both of his kids are studying engineering in college. And who knows, maybe they will be part of the Oil-Dri family too someday. We do have multi-generations at Oil-Dri and it has really worked for us.  The next Vice President I'd like to highlight is Michelle Hueser. She's a real Oil-Dri success story. She has been promoted to Vice President of Customer Service and Supply Chain. She joined us in August of '93. So she's coming up on almost 30 years. She earned her undergraduate degree from Stephens College. She held sales and operations positions with Williams-Sonoma prior to joining Oil-Dri.  She and her husband Scott enjoy supporting nonprofits for families emerging from homelessness. And again, really it's a common theme amongst Oil-Dri that we do truly care. It's one of our core values, and she exemplifies that every day. Her daughter is earning her degree in technical writing from DePaul University. So definitely please congratulate Michelle on her promotion.  And last but not least, Wade Robey, who I mentioned, joined us as Vice President of Amlan Marketing and Product Development. Wade, his resume was too long to include everything, but here are some of the highlights. He joined us recently in February of 2021. He's already hit the ground sprinting. He has 30 years of success in a wide range of ag and industrial industries.  He got his BS in ag science in Auburn. He then got his master's in avian physiology at Auburn and his Ph.D. in animal nutrition from Virginia Tech. So he is perfectly educated and then has complemented that education with an incredible resume of experience. He has worked in a variety of roles for multinational animal health companies like Monsanto, Novus, Cargill, Syngenta. Just really, really fortunate to have Wade on the team.  He and his wife Allison live in Sioux Falls, South Dakota. I have no idea why, but they do. Somebody has to live there, I guess. And it's the beauty of the virtual environment that he was able to onboard and join us. Yes, we've been together physically a lot. But Wade and I meet every week virtually and meets with the team all the time. And it just shows that we can be productive in this virtual environment.  So I'm going to turn it over to Susan Kreh, and she'll walk you through the financial highlights.
Susan Kreh: Thanks, Dan. As I proceed through the following slides, I will be sharing a look back at the past decade of performance trends as well as focusing on our first quarter results. We will see that we are achieving growth and winning business when Oil-Dri, like so many other companies across the globe, is facing inflation in our input costs that are growing at rates faster than we have experienced in decades.  Let's start by looking at 10 years of net sales growth, noting that consolidated net sales reached an all-time record high of 305 million in fiscal 2021, as Dan mentioned earlier, which represents 8% growth over the prior year. This was primarily due to higher demand of our cat litter and agricultural products, which increased by 9% and 19%, respectively, over the prior year.  That sales growth momentum continued into the first quarter of fiscal 2022, where consolidated net sales reached an all-time quarterly high of 82 million, an 8% increase over the prior year. This growth was primarily driven by an increasing demand for our cat litter, fluids purification products, and industrial and sports products. While we also experienced revenue gains from our co-packaging coarse cat litter business, sales of our agricultural and animal health products declined in the first quarter compared to the same quarter last year.  As I mentioned during our previous fourth quarter fiscal 2021 investor call, we've been increasing prices across all product lines to help offset rising costs. And those increases helped contribute to the improvement in consolidated net sales that we saw during the first quarter. Our business to business products group grew 5% over the prior year and our retail and wholesale products group grew 10%, reaching a record quarterly high of 54 million.  In addition to the favorable impact of pricing on our top line, our volumes also drove top line revenue growth. The momentum continued into our first quarter fiscal 2022 when we sold 209,000 tons, a 5% increase over the first quarter a year ago. So as we look at the top line during the first quarter, about one-third of the growth came from pricing and another two-thirds from volume and mix. And a brief review of our net sales per ton demonstrates the impact of focusing on our mission of creating value through sorbent minerals as fiscal 2021 reached an all-time high mark of $389 per ton sold.  We continue to focus on pricing as we experienced the material adverse effects of the inflationary environment in which we are currently operating. We have publicly announced multiple price increases across our various product groups. Net sales per ton of $394 in the first quarter of fiscal 2022 includes some of the impacts of the price increases that we have already announced. We expect to achieve more of the benefit of the announced pricing during the second quarter, with some being implemented during the early part of the third quarter due to the notice periods that are built into certain of our contracts with our customers.  Shifting to gross profit per ton, which is a key profitability metric that our team uses to manage the performance of our business, the headwinds that we face have become evident. While net sales and net sales per ton were at all-time highs for fiscal 2021, our gross profit per ton was severely impacted by rising costs that hit us hard primarily during the second half of the fiscal year, for fiscal 2021. The adverse impact of inflation continued during the first quarter of fiscal 2022. Higher freight, packaging, natural gas and non-fuel cost per manufactured ton drove the decrease in gross profit. Freight cost per manufactured ton increased approximately 37% in the first three months of fiscal 2022 compared to the same period in fiscal 2021. Packaging cost per manufacturer ton increased 44% over the prior year, which was driven in large part by resin cost increases. Further, the cost of natural gas per manufactured ton used to operate the kilns, the dryer place [ph] was a whopping 97% higher in the first three months of fiscal year 2022 compared to the first three months of fiscal year 2021. The magnitude and the velocity of these market-driven cost increases eclipsed our ability to increase pricing to our customers. To add just a bit of color, because of the extensive use of silk and jugs in packaging, these cost increases affect our retail and wholesale products disproportionately. While we have announced and implemented price increases in all of our markets, we continue to aggressively monitor our input cost to determine what future price increases may be needed. We see the impact of the extraordinary inflationary costs we just discussed on both our net income and our earnings per share metrics.  So moving on from that, and that being said, our financial position remains strong and we remain committed to our dividend, which is both predictable and growing. And you see the increase there in the first quarter. Our strong financial position enables us to continue to invest on multiple fronts.  In addition to our ongoing commitment to our shareholders through the payment of dividends, we fund new product developments through R&D. We maintain our production facilities and some cost reduction opportunities through CapEx. And we opportunistically repurchase shares of our stock to help offset the dilution of our restricted stock incentive program.  Our debt remains at a low position of just under 9 million as of the end of the first quarter. Our debt to total capital ratio is a conservative 6%, which gives us plenty of dry powder to fund the investments mentioned earlier, in addition to funding or incremental working capital needs to support the growth that we talked about earlier, as well as to finance potential acquisition opportunities that may become available.  In summary, we have strong momentum and capturing share in our key markets. However, we are fighting significant externally driven cost increases and supply chain challenges unlike any we have seen in recent history, and we are keenly focused on managing those challenges in order to best serve our customers. I believe that we have a strong team in place that is working together extraordinarily well in order to address these short-term challenges that we are facing, while maintaining our focus on our longer term strategy.  So with that summary, it is my pleasure to turn this over to one of my teammates that has been working diligently, together with her team, to address the supply chain challenges we mentioned, Molly VandenHeuvel, our Chief Operating Officer. 
Molly VandenHeuvel: Thank you, Susan. I appreciate that. And I'm going to talk supply chain today. And as you heard from both Dan and Susan, within supply chain, this was a difficult year for all of us. But I was truly impressed with the way the team persevered in light of all the challenges from COVID-19 and now the broader market impacts.  Most of you are aware of the global supply chain constraints that all industries are encountering today. Oil-Dri is not immune to these challenges. But in the Oil-Dri way, we have addressed these head on and have worked to mitigate and reduce the negative impact to the business, but also to amplify the positive impact.  So let me start with the positive impact. Our commercial teams have set up share growth plans for some time. In the midst of these times, they have grown share and net sales much faster than we originally anticipated.  A partial driver of the strong sales has been our ability to deliver product at service levels better than the industry average and keeping product on the shelf. This does put more pressure on all of our people processing tools, but we have worked to address the issues. We have strong systems and a majority of our product is vertically integrated, as Dan mentioned, so we have control of a large part of our supply chain. However, we are not immune to the global supply chain impacts as you can see here, which have also impacted our results as reported in our 10-K and 10-Q, and as summarized by Susan.  Our teammates remained agile to adapt manufacturing, adapt supply chain and procurement and adapt customer service. In fact, we adjusted just about every part of our business to align production with customer demand and continually to effectively serve our customers around the globe.  However, our results have been impacted in the areas of customer and cost. Unpredictable and high volume and complexity is a positive as I already mentioned, but there's also a huge driver of customer and cost impacts.  In addition to the high volume impacts, you can see some of the headwinds here. When transportation capacity tightened up, our logistics professionals adjusted routings, carriers, processes and communication to keep product moving. We have creatively and positively managed what we can, but we are still seeing late pickup, long lead times and overall tight transportation capacity. This has also continued to drive the cost of logistics up significantly, 13% year-over-year increase in domestic freight last year and continuing to increase this year, as summarized by Susan.  As for people, we have more open positions than we would like but our teammates have implemented improvements and automation to help us as well as working extra hours to keep product moving. We have also adjusted our recruiting and hiring practices and improved our onboarding processes.  We kept a close eye on material suppliers. And when we predicted potential material supply issues, our team sourced alternate suppliers, increased safety stock, substituted packaging when possible, and fortified supplier relationships to ensure that we had no major production outages that we're seeing due to lack of materials.  And then last but not least, we started seeing significant cost pressures in natural gas, resins, lumber and transportation. Our Oil-Dri teammates pivoted to bring in different materials and suppliers to offset price increases as much as possible.  Even with the savings initiatives and procurement pivots for less expensive materials, last year we saw impacts of cost of goods price increases such as packaging cost increased by 19% and natural gas by 15% year-over-year and higher, as summarized by Susan, just to name a few, and we have continued to see the prices increase.  In order to compensate for this macroeconomic inflationary environment, we've executed multiple price increases in all divisions through Q4 and into this new fiscal year as a result of the high input and commodity pricing we see on all materials and energy needed to produce our products.  So throughout the last year and during the pandemic, our frontline teammates kept working and producing and our support teammates managed with excellence virtually. Accomplishments toward our goals including execution of multimillion dollar savings projects, improved and increased capacity in the cat litter division, a near elimination of slow moving and obsolete inventory, and our continual improvement in product quality as measured by our consumers. We continue to invest in our business. And a couple of examples include opening a new mine in Georgia allowing for increased reserves and installing more automation for higher throughput on our jug line. In short, Oil-Dri finished 2021 with increasing momentum. Demand for sorbent minerals remains strong and our global supply chain is well positioned to capture this post COVID global economic expansion cycle, but we are not immune to the global constraining impacts and inflationary trends.  We have truly dedicated teammates to address the challenges ahead. We have strong processes, as I've outlined before, such as our sales and operations planning, which does assist us in all forward forecasts and capacity planning. I do look forward to the challenges and achievements ahead in 2022.  So with that, I'd like to hand it off to Jessica Moskowitz. She's our Vice President and General Manager of our Consumer Products Division, and she is going to talk about some really great successes she and her team has led in our lightweight litter.
Jessica Moskowitz: Thanks, Molly. I could not be [indiscernible] in our lightweight business consumer division. We are continuing to see our entire portfolio of lightweight litter products and our consumer division has posted average growth of 9% from 2018 to '21, driven by [indiscernible] businesses, both branded scoop cat litter and private label cat litter. On a quarterly basis, Q1 2022 represented a record quarter also representing strong growth across both private label and branded sides of the business. In the [indiscernible] vertically integrated has never been more key to our success in lightweight. Recall that Oil-Dri mines across the country with lightweight calcium bentonite clay.  Calcium bentonite has the same [indiscernible] as its heavy counterpart sodium bentonite, but is lighter in weight for that same amount of volume. Our lightweight clay [indiscernible] key consumer that Dan mentioned earlier for litter, it's traditionally very heavy.  In addition to providing consumers with added convenience, the benefits of lightweight span the entire supply chain, starting with [indiscernible] less weight overall means less freight costs. Beyond that, [indiscernible] reaching the truck’s weight capacity before the truck is even filled with product. With lightweight litter [indiscernible] many units on the truck, less trucks on the road [indiscernible]. In the same way, our litter being [indiscernible] wider cuts means more efficiencies for our customers when transporting our litter, putting in stocking shelves and DCs. Looking at the current litter category, [indiscernible] 14% of total U.S. cat litter sales and has outpaced the growth of traditional heavy litter for the latest 52 weeks. As we continue to increase our quality and do so at a value, we expect consumers to continue to turn to our products for convenient options to litter categories.  As Dan also mentioned, we've been looking at Canada as a case study for particularly high prevalence of lightweight cat litter relative to the overall market. In fact, compared to a 14% share in the U.S., lightweight has a 50% share of the Canadian litter market. As Dan mentioned, our team in Canada has done an excellent job of leveraging the strong lightweight shared driving and being a part of this exciting growth in lightweight.  Going back to the U.S., Oil-Dri is currently the number two player in the U.S. and our strong growth has come from both the branded and private label sides of the businesses. On the private label side of the business, we're seeing both new customer acquisition and distribution gains.  And as we look across the last two years for our branded litter business, we're seeing expanded distribution and elevated demand, market share is growing, repeat purchasing increasing and an overall improvement in consumer sentiment and reviews.  On the branded side, our Max power line of products has driven strong growth as our best performing formulation. This patented technology quickly absorbs and locks in odor causing enzymes which stopped odors before they start. And along the lines of improving quality thanks to an impressive cross functional team effort, this year we launched new ultra clean, which is a low tracking formula which shows superior performance for even the leading brand of low tracking litter in consumer studies. We've had success out of the gate as consumers turn to our products for a low tracking formula that offers great performance at a value.  We supported the launch of ultra clean with a combination of a digital media plan supported by an engaging video which we've shown screenshots of here, digital display ads, social ads and videos, and a broad range of other social media and e-commerce driven initiatives.  Speaking about e-commerce, as we discussed many of the benefits of lightweight, those are often amplified in e-commerce channels which are so dependent on freight. Our consumers continue to change how they shop and pet parents are increasingly migrating into e-commerce. For Oil-Dri, we continue to see strong double digit growth in e-commerce as we expand our product presence online and improve conversion.  In closing, as we reflect on the success of lightweight, at the heart of our success continues to be our team. We've got an incredibly talented group of individuals that are engaged and passionate about growing the lightweight business.  So with that, I'll turn it over to Fred Kao, VP of Sales for Amlan International.
Fred Kao: Thank you, Jessica. Good morning, ladies and gentlemen. I'd like to go through the Amlan sales part of the presentation to share what we have accomplished since 12 months ago. As most of you already know, all the key points for me as a VP of Global Sales is to recruit. And we have done that with the addition of key positions in key areas. We already introduced Dr. Robey to our marketing team. Mr. Jay Hughes is our Global Director of Technical Service joining us in February of 2021. We needed finding someone to be our technical team, and it's really good to have another person with 20 plus years of experiences from either trials, analysis and also with strong technical background to be the leader of our technical team.  We also added two key directors; Mr. Heath Wessels in the U.S. and Harold Zhou in China. They both joined in December of 2020 with numbers of years in the poultry industry, and they will be the key driver to build a strong foundation in those key markets to complement what Ms. Margarita Santa is currently doing in our team in North American region.  We added key sales positions in Asia, U.S. and Mexico on top of a brand new 10 people team in China since FY '20. We also added a marketing and HR position for China and APAC region to build a much bigger team in the region for future growth needs. Asia and China's regional technical manager, Dr. King and Dr. Michael Hua are just examples of our direct dedications to not just add sales personnel, but also adding after sales customer support to be a complete global focus team.  We now hold patents in 15 major markets and many of them are still pending to ensure that we have the right to sell our very unique minerals to meet our customers’ needs in these countries.  When China grew more than 50% from a year ago, year-on-year, a lot of people asked, how this was accomplished? It’s not just one area we have improved, but from multiple areas. We now have a strong 10 people team in China. On top of that, we brought three key distributors back because of relationship that we rebuilt with them since their new team is in place.  Our continual focus of working with key accounts is also key to our success in the markets. Antibiotics was banned by the Chinese government in July 2020, opening doors for us to position our unique products in the market at the right time. And despite the COVID challenges in most of the world, China remained untouched until July 2021. So the demand of animal protein remained really strong there. Despite the challenges of African swine fever and COVID and global supply chain crisis, Amlan continued to grow in Asia. We continue to grow with Japan, Taiwan and Thailand as they have added steady volume due to higher demand of animal products. We also added key distributors in Vietnam to go along with the increased sales of antibiotics alternative in Japan since 2020.  We're seeing a very different trend in Latin America and Europe, Middle East and Africa regions, because of the COVID cases there is really hurting a lot more than the other regions. Although we are seeing a nice increase over the last few months of FY '21, global supply issues are making it tougher to get the product there in time.  As we talk about U.S. industry, we're seeing record high numbers in profitability with the integration to United States in the last year. As we continue to ride that wave to promote our products in the market, there are challenges that we're faced with.  Number one is the time it takes to run the field trial as we discussed before. Number two, our full team in the United States has only been in place for less than two months before the financial year ended in July. We're really looking forward to continuing introductions of our products to key players in the market, and to give them more field data to be shared with others in the animal industry to promote our unique mineral products.  Our enterprise alternatives continue to gain momentum in key countries. And as Dan mentioned earlier in his speech, we actually added three key integrations in three different countries and all with different species, and that's a huge win for us in Amlan.  Why are we so excited? Because European Union's new regulation on no anabolic in all products will open even more doors for key integrations in Brazil and Thailand in particular. Unlike the old requirements with frozen products, all products in the EU will need to follow the new guidelines set to be effective in January 2022. Companies will use antibiotics alternatives as a way to better their bottom lines and this is not just a good opportunity, this is a great opportunity for Amlan.  With that, thank you for your attention. And I'll pass it on to our VP of Marketing, Dr. Wade Robey. 
Wade Robey: Fred, I appreciate that. Good morning, everyone. It's a pleasure to be speaking to our shareholders. And I know the information Fred shared is very exciting, and I'm now going to focus on some of the background information around our strategy and how we're approaching the market as we grow our Amlan business.  The first slide I'm going to start with is our new tagline, which really could clearly underscore some of the things that Dan mentioned about the refocus of our business. It's minerals by nature, performance by design. Those are two very important concepts for us. When we talk about minerals by nature, it's because our products are all natural. We don't alter our mineral clay with harsh chemicals during processing. We really focus on generating products that are good for the environment and good for our customers and that are sustainable.  And then performance by design. As Dan also mentioned, we're investing literally millions of dollars as we build out our technical capabilities, we research our products and we bring forward value propositions to our customers that are validated with real data, both in vitro events, but also in vivo and animal studies. So these two concepts together really give us a differentiating advantage in the marketplace.  So our focus is really about creating value, it's improving the sustainability of animal production and we're going to do that through leveraging our unique mineral. This is truly our differentiating and advantage, and the thing that is going to be most prominent in our marketing messages to our customers.  That's going to allow us to pursue opportunities to develop novel natural ingredients. And really, our products are designed to work in concert with the nutritional elements of an animal's diet, to support optimal health, to improve and support a healthy immune system, and really support the production economics that our customers demand.  So why is this opportunity changing or so large right now? Well, as Fred mentioned, there's a rapid move around the world to remove subtherapeutic antibiotics, and really generally just to remove part of pharmaceuticals in general.  Consumers are demanding this. They're pulling it through the production chain. They want to make sure that they're eating milk, meat and eggs that are produced in a way that's sustainable, and that is as healthy a food supply as they can purchase for themselves and for their families.  Now at the same time, as we make this change, which really is a paradigm shift in the industry, we've got to ensure that we support optimal production economics for our customers, as they remove antibiotics that really work. They're effective compounds. They want alternatives that provide equal value. And so we have to support good production economics.  Our products have to have application simplicity. They have to be easy to handle, easy to add in a seasonal and really be safe for the animal with no withdrawal requirements, and provide compelling ROI. All of this will allow us to provide a portfolio of products that can replace pharmaceuticals as they're removed from diets, offer our customers natural alternatives that bring sustainable value, and really reduce the risks that antibiotics had in terms of resistance.  So what do our customers require? They require clear modes of action. They want to know that the products they're buying are working. They want to see good validated performance. And as I mentioned previously, the products have to be easy to handle and apply in seasonal. Those are the types of characteristics that customers look for and demand.  All of this goes together so that we maintain or improve performance metrics, performance expectations of our customers. We're going to do that through having positive impacts on the gut health and digestion of the animals that use our products, supporting a healthy immune system, balancing the [indiscernible] or the gut. And as I mentioned, [indiscernible] full withdrawal, no residues and proven food safety. All of these elements are very critical to our customers and to consumers alike.  In terms of where we're going to be targeting in the marketplace; monogastric, so poultry and swine, ruminants, [indiscernible] and beef cattle, companion animals, aquaculture, all of these markets are addressable by Amlan and markets that we will pursue.  Our play, as Dan mentioned, is our differentiating advantage. It truly is unique and it’s balanced by a company like [indiscernible] with an eight plus legacy in this industry in sustainable mining, in a vertically integrated company that can bring all the elements from production to commercialization, to ensure our customers have consistency and quality in their products.  That's going to allow us to create unique products targeted for various species and for various efficacies, capitalizing on the unique physiochemistry of our clay. We will also periodically add adjuvants or other compounds on the clay that will broaden the utility of the product, but will all be based on the core technology that we have in our Oil-Dri organization. It's our mineral clay. So if we look at the market and the market opportunity, the global antibiotic market is estimated at about US$4 billion. It has been declining, but it's very volatile. And you'll see that in the graphs that I'll discuss here below in a moment.  If we look at the U.S. markets specifically is where we can get our best numbers, they're still using about 6.1 million kilograms of antibiotics a year, which is still a substantial amount. And you can see the breakdown by species in terms of where these are used.  If you look over on the graph on the right, you see how this breaks down by cattle, swine, chicken, et cetera. And you can see there's been a general decline that we've seen over the last few years. However, last year and the year preceding, we did see slight upticks in cattle and swine which is very typical when subtherapeutic antibiotics are removed from a market. Producers have to respond with better [indiscernible] with alternatives, and quite often the overall use of antibiotics might increase because of therapeutic application. But the general trend is certainly down. Still a very large market, but the market is very hungry for alternatives, like the products that Amlan will bring forward.  So how will we position those in the marketplace? We'll develop specialty products. So we're not going to go down this bottom side of the curve, down a commodity route. We're going to go up the top side of this flow chart. We're going to price based on value, the proposition that we bring to our customers.  We're going to have products with multiple modes of action that we’ll provide to customers, allowing us to have both broad spectrum and targeted performance. And again, deliver shelf life, feed stability and handling and thermal stability in an animal diet, all of the things that customers demand.  So overall, we have a multibillion dollar addressable market that we can pursue. It's going to be important for us to look at all species. We're focusing on poultry and swine, but we're also pursuing ruminants and companion animals also. We're going to provide products with a wide range of benefits that support overall animal productivity and support a healthy, sustainable proposition for our customers.  We're very well positioned to deliver. We have pure clay solutions. We have formulated products. We can also be a carrier for other bioactives into the diet. And really it's underpinned by Oil-Dri. We are a vertically integrated producer with over 80 years of expertise in developing clay mineral solutions, and we're going to leverage that amulet to really deliver value to our customers. So with that, I'll turn it over to Dan Jaffee, our President and CEO, for the Q&A portion of the presentation.
Dan Jaffee: Thank you, Wade, and thank you shareholders for listening to our presentation. We're going to open up the floor to questions. Please submit your questions using the Ask a Question field on the webcast. Questions or remarks must be relevant to the meeting and pertinent to the matters brought before the meeting. And Leslie is going to moderate our questions.  So Leslie, which one are we going with first?
Operator:
Leslie Garber: So our first question comes from Robert Smith, the Center for Performance Investing. And he asked how does the company protect its intellectual property while operating in China?
Dan Jaffee: Laura?
Laura Scheland: Sure. So Oil-Dri's global IP strategy includes an analysis of high value countries, countries where we have a great potential opportunity, as well as high risk countries, countries with risk of IP theft and infringement. While we definitely recognize that enforcement of IP rights and enforced jurisdictions can be difficult, we do apply and register for both trademarks and patent applications and we have filed for both patent trademarks in China. However, given the enforceability concerns, we do not rely solely on the registrations to protect our business. Practically speaking, our biggest defense is not the registrations, but it's about -- is the fact that the value of Amlan's products are based on aspects that can't be easily replicated. So, for example, our R&D and technical knowledge, our relationships with our customers and our unique mineral. Especially with key accounts and the long sales cycle that has been previously mentioned, products are not swapped out lightly and our sales team works really closely with the key accounts while they do their own trials, and evaluate the performance of our products before making switch to our products or to competitors' products. In this process, our team develops close relationships with our customers and proves to be reliable and provide exemplary technical service. Therefore, the customer relationships and the performance of our products in trials is surely our best defense to protect against knockoff substitutes.
Dan Jaffee: Thank you, Laura.
Leslie Garber: Okay. The next question comes from Lawrence Richards [ph], a private investor. He asks, I'm concerned about the liquidity of the stock. I feel the extremely high bid-ask spread may discourage some interest in the stock. While I appreciate the share buybacks, they are continuously reducing the liquidity from an already low 7 million shares. Under what circumstances might Oil-Dri consider a stock split?
Dan Jaffee: Lawrence, thank you for your question and it's a valid question. And we do have a Board meeting coming up after this annual meeting and I'll be sure that we discuss it with the Board. This would be something the Board would address and consider. And so just take it under advisement that we will consider it at today's Board meeting. Not sure we're going to do anything, but it's a good question.
Laura Scheland: Thank you. 
Leslie Garber: The next question comes from Ethan Star [ph], a private investor. Thank you to everyone at Oil-Dri for the hard work in a difficult environment. Dan, could you and the team please further detail the reasons behind your excitement for the animal health business?
Dan Jaffee: Yes, it's a great question. And as you heard from Fred, he and Wade have been able to really rebuild our team. And it's a team of incredibly talented animal health professionals who are all joining for the same reason, because they love me so much. No, they're joining us -- I mean, maybe they do love me, I don't know. But I do know that they're joining us because they really took a lot of time and energy into looking at our technology, our data, our trials that we've done, and they absolutely -- everyone sees the shift that's going on in the globe away from antibiotics. And honestly, Fred taking the plunge first definitely paved the way for Heath and Harold and Jay and Chuck, and all the teammates sort of joined us since to say, wait a minute, if someone like Fred could join, maybe I should be looking at this. And then anything on the marketing side, someone like Wade, with his experience and an educational background, is seeing value in this mineral and this is what they're doing, maybe I ought to take a look at this too. So it's really -- it started with that. It started with building the team around people that believe and understand that our clay is the unique point of difference. We have hundreds of millions of tons in our total reserve portfolio in terms of proven and inferred and likely so on, say 100 million, because I don't know what we disclose in our Q and our K. But we have unlimited reserves honestly in our lifetime. But what we're doing is selectively mining and processing to absolutely maximize what Mother Nature already put in place billions of years ago. We wouldn't be here if Earth couldn't sustain life, because Cro-Magnon man couldn't go to CVS or Walgreens and get antibiotics when they needed them. So clearly, the earth is supplying what we need. All we're doing is trying to perfect that and enhance that. And that's what we're doing. And so the prior regime really was letting the competition dictate our offensive strategy. So they were painting our mineral as dirt or whatever and we were letting them define it. When in reality, our mineral is the unique selling proposition. And so we are leading with it. We were being forced -- we couldn't even get appointments, let alone trials with the major players around the globe. The team that Fred has assembled, they -- to pick up the phone and get to anybody in the world. And now our issue is really let's balance out those trials. Let's do them at the exact best times of the year. And the word of mouth in this industry is so strong that as we've started to knock over dominoes in all the major markets now, and as we said for the first time ever in the U.S., it's just coming. So you can feel my excitement. And now the challenge is for Molly and Aaron to make sure that you fill all orders, and we're confident we can do it. But it's going to take a lot of coordinated effort to make sure that we get out in front of what I call the tsunami that I believe is coming. So I hope that answers your question. But yes, it used to be -- we were hoping for it. Now it's actually starting to happen. We're actually shipping to major, major companies who are very sophisticated. They see the value. They know they're buying our clay. That's why they're doing business with us. We have quality all the way to the source, which nobody else can claim and that we've got millions of dollars of both in vitro, in vivo data and that IP surrounding our clay’s unique activity. So it is very exciting.
Leslie Garber: Okay, great. We'll move on to the next question from John Bair from Ascend Wealth Advisors. He asks, I've seen many Oil-Dri were hiring positions on LinkedIn lately, and you have had numerous new hire announcements for analysts. Are these LinkedIn postings a function of expanding internal personnel needs or due to personnel turnover or retirement?
Dan Jaffee: Great question. It is a combination of expanding and then desired turnover. Fred and I get along very well. Those of you who are new to Oil-Dri, we have a corporate culture that is summarized by our acronym WE CARE. W is work-life balance. E is ethics then communication, accountability, respect and excellence. And I can tell you that Fred absolutely embodies our WE CARE core values. And as he's brought in people, they embody those values. And what's happened is we have some teammates who were not necessarily embracing all of our core values, and we had to change. I believe a team -- if you think about a tug of war, everybody needs to be pulling in the same direction to maximize your performance. While some people are pulling in some direction and other people are pulling another direction that ribbon doesn't move. And so we are all pulling in the same direction, and it's very exciting. So we've had no retirements, but we've definitely had expansion and then we've had what I'm going to call desire turnover where we've had to part ways with certain teammates to bring in and make way for other teammates. So it's really the team is in incredible shape today and it's really a much different team that we have even a year ago.
Leslie Garber: Great. The next question comes from Ethan Star. He asks, are you continuing to add new customers for both branded and private label cat litter in both the U.S. and Canada? And to what extent are more consumers choosing the Cat's Pride brand, which offers better quality at lower prices?
Dan Jaffee: Yes, great question, Ethan. And Jessica, you can open up your line. I'd love to have you answer that question.
Jessica Moskowitz: Sure. Thanks for the question, Ethan. Yes, we are continuing to bring in new customers and grow both via new customer acquisition as well as organic growth within our existing customer. So absolutely seeing new customers on both the branded and the private label side. In terms of your question around branded, as we look across the last two years and even the last year for our branded business, we are seeing more concern [indiscernible] just for what you mentioned, a great product at a great value. And as we look across the last two years, we're seeing expanded distribution, elevated demand. We've got market share growing, repeat purchases [indiscernible] and just an overall improvement in consumer sentiment. So very optimistic about the direction of the brand as well as private label.
Dan Jaffee: Great. Thank you. Next question?
Leslie Garber: Next question from John Bair. Is Oil-Dri facing any extra capital expenditure costs related to clay mining and product processing operations as it relates to reducing any emissions? Are you able to capture and reuse the heat generated from your kiln operations?
Dan Jaffee: John, great question. And operator, please open up the line of Aaron Christiansen. He's our Vice President of Manufacturing and Warehousing. And Aaron, if you would field that one, I'd appreciate it.
Aaron Christiansen: Yes. Dan, can you hear me now? It looks like they’ve unmuted my line.
Dan Jaffee: Yes, you’re on.
Aaron Christiansen: Yes, that’s a good question. I’d love to take that one. I'm going to take a couple of different ways. So one way maybe is the opposite that's inferred in the question. We're just finishing an investment in one of our factories that actually takes the latent heat from a turbine generator to power and fuel our kiln. So it's really the opposite. We're trying to cogenerate our own electricity. At the same time, we use the heat to power the dryer. The utility cost in the state of California make that a very obvious and homerun investment that will come online sometime this spring or summer. And we look forward to learning from that. The other thing inferred in your question really about emissions is all of our sites and all of our kilns are permitted. We have emission standards to meet. Those standards continue to get tighter and tighter in many areas and facilities. And we're obligated to maintain those. So there is a direct overlap between our ability to maintain emission standards and get more efficient with fuel. Fortunately, there's overlap between the two. But definitely our capital plan has allocations made to make sure we continue to meet emission standards.
Dan Jaffee: Thank you, Aaron. Great question. Leslie?
Leslie Garber: The next question is also from John Bair. Are Amlan products manufactured in the U.S. and shipped worldwide? And if so, is that what is hindering faster growth worldwide due to shipping supply chain difficulties? If not, where else are they manufactured?
Molly VandenHeuvel: Right. So this is Molly VandenHeuvel. I'll answer that for you. So yes, our Amlan products are manufactured in the U.S. and shipped worldwide. It is our key mineral that we want to make sure we have full control over, so we still manage that within the U.S. And we ship ocean freight worldwide. We've talked several times about the global -- the constraining transportation market, ocean freight is no different there. It is very difficult to get bookings on ocean freight and the lead times have significantly increased. So just as one example, just to book ocean free, so not the time it takes to sail. It went from four weeks pre-pandemic and expansion to eight weeks. So just to book a vessel can take eight weeks that doesn't include the transportation time. So as we are seeing the opportunities ramp up, it is a long lead time for us to get product on the ocean into our customers. And that's the biggest constraint we're seeing.
Dan Jaffee: Great. Thank you. So that concludes our Q&A. I do want to wrap up by just commenting that all of our businesses are really doing well. We got the industrial and sports businesses is cranking and doing well, the ag business is doing very well, our fluids purification business, again, with renewable diesel and just the edible and non-edible oil business, purification is doing very well. So it's a unique period of time where all pistons are firing.  And obviously, it's incumbent upon us to make sure we're getting the prices that properly value what we're doing, i.e. to get our margins back where they need to be. So that's where we're 100% focused. You'll continue to see you that progress. And we're going to continue to raise prices as the costs continue to go up, which is -- you can read all sorts of articles on whether inflation is just a temporary thing or here to stay for a few years. Everything I can see is a tiered set. So we're assuming it's here to stay and that's how we're approaching our margin repair strategy.  So thank you very much. It was a record fiscal year in many ways, lots of challenges in many ways. And again, I want to close by the way I started just thanking our frontline workers because they really made it all possible by -- we kept COVID out of our plants, we really did and it's due to the focus of our leadership down at each of the plants and then our teammates adhering to strict social distancing and wearing the mask when necessary, and keeping COVID out of our facilities. So thank you, everybody. And we'll talk to you again at the end of next quarter.
Operator: That concludes today's conference. Thank you for joining and have a pleasant day.